Operator: Greetings and welcome to the National Energy Services Reunited Q3 2020 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded.
 It's now my pleasure to turn the call over to Mr. Chris Boone, Chief Financial Officer. Please go ahead, sir. 
Christopher Boone: Good day and welcome to NESR's third quarter 2020 earnings call. With me today is Sherif Foda, Chairman and Chief Executive Officer of NESR. On today's call, we will comment on our third quarter results and overall performance. After our prepared remarks, we will open up the call to questions.
 Before we begin, I'd like to remind our participants that some of the statements we'll be making today are forward-looking. These matters involve risks and uncertainties that could cause our results to differ materially from those projected in these statements. I, therefore, refer you to our latest earnings release filed earlier today and other SEC filings. Our comments today may also include non-GAAP financial measures. Additional details on reconciliations to the most directly comparable GAAP financial measures can be found in our press release, which is on our website. Finally, feel free to contact us after the call with any additional questions you may have. Our Investor Relations contact information is available on our website.
 Now I'll hand the call over to Sherif. 
Sherif Foda: Thanks, Chris. Ladies and gentlemen, thank you for participating in this conference call. We are very pleased with another outstanding record performance this quarter. We grew 35% year-over-year and 7% sequentially, which is a phenomenal achievement given this growth has been delivered against the backdrop of continued industry surplus supply, compounded by pandemic-related effects on the global demand.
 I believe we are an outlier in the OFS space for delivering such results when the rest of the industry is contracting with these headwinds. As I have previously stated, we have achieved this due to the stellar effort of our teams on the ground. We not only have managed to hold the line but have learned to thrive in this very tough environment.
 I cannot speak highly enough of our management and operation team in each of the countries. I am blessed to have such talented individuals who run their operations with an unmatched passion and dedication. Most of our leadership in the country are nationals of the country. And not only they have an acute understanding of all the nuances of what needs to be done for the business, but they also have stepped up to the roles as leaders in the community.
 Just to give you an idea on how well we have managed the operations, we have increased our operating hours this quarter. And we have added headcount to manage our growing operations, while the rest of the industry is laying off people. All this while being acknowledged as the best service quality provider this quarter by one of our main customers, measured by nonproductive time or NPT during operation.
 One of our main differentiators is our execution ability during the COVID-19 and maintaining 100% capacity at all times. We have been very clear that we will handle this crisis by fundamentally modifying and strengthening our processes, essentially a big emphasis on planning short and long cycles. We managed the recent curfews reinstated in some of the countries, the continuation of some border shutdown. Difficulties include changes or importing spares or chemicals on time.
 Our crisis management team is still in full action and so are the emergency response team in each of the countries. And, yes, in this new normal, there is an extra layer of cost. You have to bear for COVID preparedness and handling. I just visited Middle East and was with our customers in different countries. By the time I finished my trip, I had taken 4 COVID tests and had quarantined in couple of hotels for a few days. I was very pleased to see my deal clients and friends. I'm very thankful to our customers to give us their trust and the opportunity to serve them.
 All this cost does add up, even though we have a large local content in our company. You also have to carry additional backup functionalities in the field in terms of personnel, larger inventories, some of which our suppliers carry and some we have to. Meanwhile, you have to plan for any eventuality of a second wave and the need to keep all these costs in place to ensure we are not taken by surprise, ensuring the safety of our employees, and readiness to our customers.
 Coming to the macro which has evolved in some areas since our commentary last quarter. I won't spend a lot of time on the demand and supply debate. But as we know, global economy is seeing a contraction due to the pandemic and certain sectors like air travel have been affected severely with longer recovery ahead of them, while others like shipping have recovered much faster.
 Our view is that the demand will rebound sharply and the market underestimates how fast the demand will come back once we have a handle on the box. The airports are not going to be always empty and people are eager to get back to normal life, although this won't stabilize before we see a vaccine and more clarity on the potential second wave. However, the fact is our industry continue to drastically under-invest for 6 years now. Therefore, most of the rebound and energy needs will come from the Middle East.
 As you saw in April and May, the main players in the region have the capacity to turn it on and meet the demand as the most reliable supplier. And we believe that would be the case when the time comes again. This could be sooner than many expect.
 Meanwhile, as I mentioned last quarter, we continue to see the same pattern in the MENA region. The core GCC markets have been measured and deliberate in their approach. We see more rigs released lately, but overall they run that business for the long term and the health of their countries and populations. Others, the drop has been significant as expected as it is characterized by smaller independent or larger IOC with significant budget cut, security concern, pandemic fears with cash constraint and others. We are seeing anywhere from 40% to even 80% cut in some of the activities.
 Given our size and scale and also our geographical exposure, we are able to manage these activity reductions by essentially gaining market share in either the same country or moving assets to other countries where we have gained recent works of replacing competition who can deliver on their work scope.
 Best example, we managed to mobilize for our recently awarded coil tubing and pumping contract in Abu Dhabi by marshaling most of the resources internally. This also helps our overall utilization, which we have to balance with the need for adequate safety margin during this pandemic.
 Last week, we announced that we extended our 5 main contracts in PDO for a period of up to 9 years. And we landed an additional contract in drilling, which gives us an option to further expand in that space. These contracts, which are worth over $1 billion form the backbone of our operation in Oman and our drilling segments. It is a tremendous achievement for our Omani team, working very closely with our customers to achieve a mutually beneficial outcome.
 I would like to thank the ministry and PDO for their trust in our abilities and for their guidance throughout the process. This cement our foundations and ensure we can amplify our investment to achieve our goals, to maintain and secure the highest level of harmonization and in-country value. We have big plans to export Omani talent to meet the needs of human capital in the region.
 Today, we already have Omani national working in several countries. We will be hiring and training more to ensure we are ready for the future. As an example, today all our thru tubing business across NESR is headquartered in Oman and they support all our operations across the GCC and the larger MENA. We proved the model works and now we can do even more as we expand on our offerings and contract duration.
 As you have seen, we are heavily invested in the social aspect of our business and engagement in the region. And this is ESG in action with a direct consequence on the sustainability of our business.
 Another example of NESR ESG commitment is how we have taken our fracturing operation to the next level. As you know, we continue to break all operation records in terms of stage efficiency and what's delivered. Meanwhile, we looked with our customer how to continuously improve on the environmental impact. From smaller projects like solar lights for our camps and sites to our latest endeavor where we have worked with our customer to optimize the frac design with cutting-edge technologies to effectively reduce the slickwater fluid volumes by 1/3. This means we are now transporting and pumping 1/3 less water, which is more than 0.5 million barrels a month. This has a material effect in a water-stressed area like the MENA region.
 In addition, such fluid systems supported the reduction of the frac fleet carbon footprint by 30% as the frac jobs are consequently shorter. We are working on more initiatives with our clients and our partners to implement different technical solutions to the challenges we face. Just keeping to the water example, we are working very closely to come up with a solution to use high sulfate water for frac jobs, which will completely eliminate the usage of over 0.5 million barrels of freshwater for these jobs.
 In the same spirit of optimizing and make fractures better, we have recently invested in a technology company called Deep Imaging, which we are going to shortly introduce to the region. This technology allows us to monitor fracs as they happen downhole in real-time and uses electromagnetic arrays on surface to measure the changes in reservoir as the fracs are happening.
 This will allow us to control the fracs in real time, which is the holy grail of frac optimization. It is estimated from public studies that only 60% of the frac stages produce as expected. And this measurement technology will allow us to further improve the existing processes. Another tech company which we are partnering with is developing technology to deploy downhole pressure, temperature, and flow rate sensors during the frac jobs, allowing us to measure both the frac and flowback performance.
 To marry all of this and to give the maximum value to our customers, we have also partnered with Will Von Gonten and Will Von Gonten Laboratories, who are the premier reservoir consultants and has a state of the art laboratory in the unconventional reservoir space. We are already working with them in the Middle East for one of the NOCs, who are in their planning stage, and we will continue to develop this across the region.
 So as you see, we are on the leading edge of taking the frac technology into the digital age, which will help reduce both the frac footprint and contribute positively towards the larger ESG goals.
 In Drilling, [ K-Bot ] investment is bearing fruit and this shield-anything technology is now sold in Gulf of Mexico. As you may recall, K-Bot is making shield-anything ramps, which will enable operators to shut in the wells if everything else failed in the case of blowout. This innovation uses technology used in space programs and military application and applies to a problem in the oilfield environment, which has the potential to take a terrible human, economic, and environmental toll whenever things don't work as planned.
 As in our norm, we invested in this company and now are in advanced stages to take it to the region where the customer wants to apply this technology to use it as a barrier in H2S environment, which when it leaks is known as the silent killer.
 We have several other technology investment and partnership in the works, which we shall announce in the near future. They all have the same purpose. How to solve our customer problems using the most innovative technologies, which will help our clients to either produce more from the same reservoir or produce at a lower cost while reducing the overall carbon footprint of the operation.
 Lastly, I wanted to give you a quick update on SAPESCO, where we have now fully closed the transaction. The integration is ongoing, and we are already seeing the benefit of this outside of the main operation in Egypt. Our customers in Egypt and outside have received the transaction quite well, and we have leveraged that position to either win some awards or bids for some tenders, which previously NESR would not qualify for. So a great start and we have big plans to expand their industrial service portfolio outside Egypt.
 And on that note, I will pass the call over to Chris to talk about the financial details. 
Christopher Boone: Thank you, Sherif. As Sherif mentioned, we reported another record quarterly revenue record with third quarter revenues of $218 million. This represents an increase of 35% over the prior year quarter and 7% over the second quarter. The sequential and year-over-year growth was driven primarily by the new frac product line in Saudi Arabia, a full quarter's contribution from SAPESCO and our new contracts in Kuwait and Abu Dhabi that offset market declines in Iraq and North Africa.
 We also achieved another record quarterly level of adjusted EBITDA in the third quarter of $56 million or 26% of revenue. This represents an increase of 17% over the prior year quarter and 8% over the prior quarter. EBITDA adjustments of $2.5 million for the quarter are mainly for transaction and integration costs associated with the acquisition of SAPESCO in Egypt.
 Despite the market conditions, we are pleased that our adjusted EBITDA margins remained flat over first half 2020 levels. We have continued to experience increased recurring costs related to COVID-19, such as employee testing, rotation costs, field lodging, catering, and sanitization. We consider these costs as normal operations and have made no adjustments to EBITDA for them.
 To mitigate the impact of these incremental costs and reduced activity in some markets, we have been successful in finding opportunities to reduce costs in areas such as equipment rentals, transportation, and field facilities. These supply chain efforts continued in the third quarter with improved pricing realized on certain production-related product costs.
 Moving to our segment. Our production segment revenue for the third quarter was $148 million, another quarterly record, growing 53% over the same period last year and 7% over the prior quarter. The sequential and year-over-year growth is primarily related to frac activity in Saudi Arabia and the new contracts in Kuwait and Abu Dhabi. This was partially offset by lower activity in Iraq and North Africa.
 Adjusted EBITDA margins for the production group were 29% in the third quarter. While margins were flat sequentially, lower margin pass-through revenue associated with frac activity grew as a percentage of total production revenue in the third quarter. This impact was mitigated by less contract start-up costs for the conventional fleet and other cost reduction efforts.
 Separately, our Drilling and Evaluation segment revenue of $70 million in Q3 was also a quarterly record, up 9% compared to the same quarter last year and sequentially. The increase over Q2 is primarily related to a full quarter benefit from SAPESCO and higher well testing activity in Saudi Arabia.
 Adjusted EBITDA margins of 24% in the third quarter were down slightly from 25% in the prior quarter, mainly from a less favorable revenue mix.
 Depreciation and amortization increased to $32.2 million in the third quarter compared to $30.4 million in the second quarter. Most of this increase was due to a full quarter impact of D&A from SAPESCO. We expect D&A to increase by approximately $1 million in the fourth quarter compared to the third quarter run rate, primarily from new CapEx additions.
 Interest expense in the third quarter was $3.8 million, down slightly from $4.2 million in the prior quarter, primarily from the benefit of lower interest rates on LIBOR. Our effective tax continues to track well below the rate seen in 2019 as we continue to optimize our tax structure. Reported effective tax rate for the first 9 months of 2020 was 21% compared to 23.4% in the first 9 months of last year and the full year 2019 rate of 24.9%. The increase over the first half rate was primarily due to an unfavorable mix shift of income earned in higher tax jurisdictions. Based on current full year projections, we expect the full year 2020 effective tax rate to be similar to the year-to-date. This resulted in reported net income of $11.7 million or $0.13 per diluted share and adjusted net income of $14.2 million or $0.16 per diluted share.
 Turning to cash. I will initially review the impact on Q3 of the closing of the SAPESCO transaction. First, we paid $11 million for the closing cash obligations. Second, we made $4 million of post-closing at some of the basins. Third, we paid off $11 million of $21 million assumed bank debt. These were funded by available cash from operations.
 In the fourth quarter, we expect $4 million in additional post-closing installment payments plus possible other earn-out payments. The remaining $10 million of assumed bank debt will be paid in the third quarter of 2021.
 The issuance of the closing shares will occur in the fourth quarter of this year but are already included in our share count for EPS.
 Switching to operating and free cash flow, both were down sequentially, but we were pleased to generate positive free cash flow of $9 million, while still investing in our sequential revenue growth and our capital spending program. Also, since the onset of the pandemic, our cash balances and net debt have remained relatively flat, even with our revenue growth and the funding of the SAPESCO transaction.
 During the third quarter, we added approximately $12 million in net working capital, mainly through additional receivables to support the $15 million sequential increase in revenue and higher VAT receivable in Saudi Arabia as the VAT rate increased from 5% to 15%. This was partially offset by a corresponding increase in accounts payable.
 Included in the working capital addition was certain inventory purchases to both support our level of activity, but also to ensure we have sufficient supply of production chemicals and spares in case of any disruptions from a second global COVID wave.
 Capital expenditures in the third quarter were $24.8 million. The majority of this cash spend was for payments of CapEx received or ordered in 2019. In the first 9 months of 2020, we've only authorized approximately $30 million in new commitments, which is about 1/3 of the original plan for 2020.
 We expect free cash flow to increase sequentially as the fourth quarter is typically the highest collection quarter of the year. Additionally, our customers' payment processes continue to improve as inefficiency from COVID are mitigated or resolved.
 Net debt increased slightly to $349 million at September 30 compared to $342 million at the end of the second quarter. Net debt increased sequentially primarily to fund these working capital investments. As of September 30, our net debt to adjusted EBITDA ratio was 1.7, flat from last quarter and should reduce to our target level of approximately 1.5 in future quarters. Also, we're going to remain in full compliance with our credit facility financial covenants in the third quarter.
 Moving to ESG. During the third quarter, we added significant new ESG disclosures to the NESR website. These disclosures will help our investors and the rating agencies better understand how NESR does business and its commitment to ESG.
 As we look into next year, NESR will expand its executive compensation disclosures by voluntarily adding a CEO pay ratio, which we believe will show we have one of the lower sector ratios and adding a say on pay vote to our proxy. As we have highlighted before, our executive compensation is highly focused on achieving performance targets with participation in short and long-term incentive plans carried down into the organization and not just with the executive team.
 At NESR, ESG is not just about achieving certain ratings, but also how we manage the company every day for the sake of all of our stakeholders.
 In conclusion, NESR can strongly outperform the market in revenue growth and margins through our regional focus, strong operational execution while still generating positive free cash flow.
 With this, I'd like to pass back to Sherif for his final comments. 
Sherif Foda: Thanks, Chris. In conclusion, I would like to leave you with key takeaways. We continue to manage the COVID situation better than anyone else. And we did plan already for wave two, just in case, ensuring we will serve our customers with no interruptions.
 We aim to continue our growth trajectory and see no deviation in the coming quarters as we expand our offerings in the different segments and deliver on the recent contract awards. We continue to invest, hire, and train national talent to fuel our growth, maintaining the highest standards and ESG commitment.
 On that note, I would like to pass it on to the operator for your questions. Thank you. 
Operator: We'll now be conducting your question-and-answer session. [Operator Instructions].
 Our first question today is coming from James West from Evercore ISI. 
James West: Sherif, I wanted to get a quick update on the simulation work you're doing in Saudi. Number 1, the number of kind of spreads you guys are running now? What the expectation is as we go into next year? And then I apologize if I didn't catch it, but the relationship with Deep Imaging, which, as you know, we know those guys well? Is that already in place? And is that taking place in Saudi or is that broader to the region? And kind of how does that wrap in with what you and next year are doing with simulation work in the region? 
Sherif Foda: Thanks, James. So for our frac, we have 2 frac fleets running in Saudi Arabia today. We have one dedicated to the Jafurah Basin and one dedicated to the [indiscernible] or what do you call, single well basically, frac operation. Both are running extremely well with just with our dear customer. And as we said, we broke all the records that has been ever in the Middle East region, working very closely with our customers. So I really thank them for their trust and how they guide us through the whole process to be able to deliver such stellar performance.
 The future is, as far as I know, is as planned. So we should be continuing with this operation as planned. The country has big plans for the gas. They always announced that from the past and they keep the same announcement. Obviously, they might tailor this activity based on the needs and this is definitely up to them.
 As for the Deep Imaging, yes, we have a relationship with them. We did an investment in the company almost close to a year now. And we look very, very carefully on what they can do. And the plan is to take them to the region and show the client, show the customer what this technology can do. Definitely, they had a slowdown because of what happened in the U.S. here. But our plan is to get a crew and to go there and show the clients what could be done. 
James West: And then maybe one for Chris. On free cash flow was, I guess, a bit less than we were looking for, but there were a lot of puts and takes during the quarter, especially with the transaction. Could you maybe talk about what your expectations are for -- or where they maybe came in light in the third quarter and where we could see some upside going forward? 
Christopher Boone: Sure. I mean, obviously, when we provided some guidance last quarter, we weren't assuming we'd hit a $218 million revenue. So obviously, there was some build in working capital support. And, yes, we didn't really -- I don't try to go into super technical, but for example, this VAT rate changed, that was about $4 million impact on the quarter net, sort of a onetime thing as those balances, there's just a timing impact between receiving and paying VAT. So those are really the -- and as I said, maybe we build a little more inventory as we -- during the quarter as we more and more risk of a second wave potentially disrupting. So those were the primary collections were about where we expected. We would like to maybe have beaten a little more on our collections targets, but they came in about as we expected.
 Fourth quarter, as we've said, well, it's usually a very strong quarter in collections and that we expect a stronger free cash flow in the fourth quarter. 
Operator: Next question today is coming from Sean Meakim from JPMorgan. 
Sean Meakim: So on the broader MENA trajectory and how it will influence your own in the coming quarters. As you said in the prepared comments, you're expecting a faster return to activity than many are expecting. But it could be worth maybe just elaborating on how you've been able to perform relative to the larger diversified service companies in this environment? How much of that is product and service mix? How much of it has been your ability to have your crews ready to work in the field despite all the restrictions? And your expectations in terms of being able to retain that market share in an activity recovery. 
Sherif Foda: Okay, Sean. Let's look at, for example, our results. Today, our Q3 results is plus 35% year-on-year with a minus, you can say, 20% to 25% activity drop, right? And that deviation, which is a complete separate or I would say opposite to the market. Why is it opposite to the market? Two main reasons. First of all is, as I always say, is our scale. Being smaller than the big guys. You can target a lot of the contracts that we recently awarded. So you can -- and you deliver on them, then you're going to gain market share based on your size.
 And the other part, we had zero disruption. So I don't want to talk about others, but I can tell you, not a single competitor we have in the entire Middle East had zero disruption. Everyone had anywhere from 5%, 10% to some had almost 50%. So they almost shut down or they almost had half of their crews they cannot operate. So we had zero. So basically, we have 100% capacity. So we managed to take a lot of the work when these people or when these competitors could not manage.
 And then we just won a lot of contracts over 2019 and we started to deliver on them. The biggest one, obviously, is the frac. So if I look today on our frac activity, we did not have frac business in 2019 and we have frac business in 2020. So obviously, the difference in that gives you the magnitude and that so you can clearly see it from the production.
 So it's a 3-way between making up from people that did not have the capacity, they don't have the equipment, they don't have the inventory. A lot of people are short in cash, some of the small service company. They didn't buy any inventory, any chemicals. We were ready, as Chris mentioned. Now, for example, on the free cash flow, today I prepared already for wave 2. So if somebody comes and, let's say, what happens in Europe, happen in the Middle East, which has got for bid, but it's not going to happen because they are very -- actually very brutal in their approach in closing borders and nobody is traveling and still the airports are closed. So I -- and if you look at the rates they have per day, it's very, very low. I mean you're talking hundreds a day. That's it.
 So I don't think they will have a second wave, but let's say they do have a second wave. I'm ready. So I already bought our chemicals. We bought the inventory. We have products for more than 6 months in each of our countries, and we will be able to deliver on any product. If somebody cannot deliver, we will be able to jump in. And in addition, as I said, we won a lot of contracts that we are going to be able to capitalize on. And that's why, as I said, what do I see for the future quarter, we see similar approach, similar growth profile, year-on-year growth, sequential growth, and you will see this in the coming quarters. 
Sean Meakim: Thanks for that, Sherif. That's really helpful. And then I'm interested in hearing a little more about the industrial portfolio expansion with SAPESCO outside of Egypt. I'd love just to hear about how that can unfold. What does the addressable market look like? Are you able to leverage your existing relationships to either work with new contacts? Just trying to get a sense for this growth lever and how it unfolds while upstream opportunities are more limited near term? I think that will be would be interesting to hear more about. 
Sherif Foda: Yes, sure. So as you know, SAPESCO guys have very amazing track record in Egypt in the industrial arena. We took the portfolio. Obviously, now we just closed the transaction and we've been working on it since June with the clients in the different GCC market, how to take that qualification, and that's what I tried to mention in my remarks, and tell the clients, now I have 20, 30 years experience in that business. So you get qualified and you get to the bidder list that they never even called you before. And now today, we launched this to all the GCC and to North Africa, Algeria, Iraq, now Libya -- even now Libya is opened. So now we are qualified. So that footprint that we have today, that is the best, I would say, and definitely outside the big 3, we have the best footprint now in the MENA. And every country we have a representative. Every country we have a country director. Every country we know the clients. So we put that qualification, that process, that experience to the clients. So now we are invited to the bidder list.
 We are already bidding in 7 of those projects. So we're bidding in Algeria. We are bidding in Saudi. We're bidding in Kuwait. We're bidding a UAE. So we are bidding on those projects. What happened, why I would say, if you want to ask me a number, I would say I cannot give you a number today. Why? Because most of those actually pipeline downstream projects were the first to be cut from the client.
 So if you look at the budget of our main clients, they canceled a lot of the project mainly on the new project of downstream. And that's the biggest part that you gain from the industrial cleaning is actually when -- so if you look at, for example, at Egypt, the biggest revenue they ever made, SAPESCO, was [ not revealed ]. When they had the discovery in ENI for the East Mediterranean gas, they had to do the purging of the pipeline. They had to do it in 16 months because the President of the country wanted to inaugurate and they wanted to break all the records for having that platform on time, and they did that. And actually, everybody worked on it, SAPESCO and other companies. And it was the biggest revenue scheme.
 So I would say the time we will take us in the next 3 to 5 months is to make sure that we are in the bidder list on all these countries and we will be able to land a couple, 2 or 3 projects in 2021 in outside Egypt. And that's -- our target for the guys is obviously much harder than that. We ask them for 20 projects. So let's see how they can deliver. That market, Sean, is $300 million, right? So it's quite significant. 
Operator: Our next question is coming from David Anderson from Barclays. 
John Anderson: So the Middle East rig count down 20% during the quarter. Your revenue continues to grow. You explained before how you had a bunch of contracts coming on. And I guess that explains part of it, but I was wondering about the rig count and spending in the Middle East. If you could maybe just sort of categorize what's going on over there. I'm wondering what's happening with that rig count. Has it been mostly oil rigs that have fallen off? And maybe just kind of talk about kind of the gas versus oil mix in terms of drilling and kind of your exposure to that.
 But secondarily, I'm really wondering about maintenance spending. Is that something that's been pulled back? And is that something that will come back first? Because we hear a lot of skepticism from investors about spending in the Middle East. It seems to be the general view that there's so much capacity. They don't need to do anything for a long time. So maybe you could just kind of talk about kind of those different parts of -- I'm speaking sort of generally in Middle East, but I'm kind of talking Saudi. 
Sherif Foda: Yes, okay. So I'll talk Middle East. So if I look -- the easiest one first is oil versus gas, I would tell you, for ourselves, at NESR, we have absolutely no difference. So we work on both. The exposure is exactly the same. So there is no difference for us. It's the mix. The only difference for us is really exploration, big gas wells like offshore, deepwater versus normal land operations. So I would say, this is the project that was cut significantly.
 And if you look back just to go to your other part of the question, what happened in the Middle East, and I said this before, they always cut the big nice-to-have projects and they cut the downstream that they don't need. Right? So that's exactly -- most of them, that's what they did. So if you look at the offshore, new projects, they were all postponed. They are not canceled, they're pushed back. So you look at Kuwait, you look at Oman and others, all of these guys, they just pushed those projects to '21 or '22. They don't need them now. It's exploration for new places, new frontiers. So all of this stuff is pushed back.
 If then you look at what most of the clients, and again, I would go GCC. And this they look at their core business, what exactly they need to do, and they look at the long term. They don't look -- I know that the investor's skepticism about the maintenance, et cetera, but the investor here, they look at this as from -- like as if it's an independent company. It's not an independent company. It's a national oil company. There is a lot of aspects on the activity that is from a social aspect, it's not from a pure economics. If I talk from a fewer economics, they can slash the rig count by 70% and they produce. They don't need anything actually. They can run with 20 rigs, and they will produce the 8 million barrel. But they do not do that. They look at the sustainability of the business. They look at the employment, they look at so many other aspects. If I look at Oman, it's the same. So the rig count is minus 20%, minus 25%, which is quite significant actually for that region because usually, they cut only 5% to 10%. So when you cut to minus 20%, minus 25%, that's what they did. They cut more, they might lay off another 5% or so rigs because they will definitely be able to produce.
 Now if I look at the gas, the gases, again, is an internal resource, for internal consumption. The only outlier to that is Qatar. Everywhere else, the gas is needed for internal consumption, so they will not change any of the project of the gas. If I look at overall, how do I see it, I see that they are definitely preparing for readiness of the other sites. If the comeback is much faster. If I look at how the spend is slashed everywhere else in the world. If I look at the supply destruction and who is going to be able to come back, I would say, in my personal opinion, the only region that will be able to deliver is Middle East. Nobody else will be able to deliver. You're not going to go and invest in a deepwater project in West Africa today, you didn't do this last year or the last 2 years, you will not do it today. But if I look at activity and the ability to put back the production, is definitely there. And the ability as well to put back those rigs is very, very fast. Most of the rigs that were not deployed in the Middle East are warm stacked and not cold stacked. So they are very simply able to put them back once they need them.
 So I would say, I don't know if I answered your question, David, but I mean, I would say the activity is going to come back much faster than what people estimate. And there is a lot of social aspect to it. And I think if you look at North Africa and Iraq, it cannot get any lower. I mean, Kurdistan is zero. Iraq Basra is minus 80% recount. Algeria, Egypt, Libya is almost minus 50%, minus 60%. And obviously, as you saw, Libya is coming back. And already they're producing 0.5 million barrels, and they have the plan to get back to 1 million barrels, which means they need to add 20 rigs or so, plus the workover and the ESP change out. 
John Anderson: I was just curious about your plans on the pressure pumping fleet. You've talked about 4 to 5 by the end of next year. How are you feeling about that? Is that number up, down, sideways? And maybe just kind of a little update on how -- I know the operations have been going on quite well or is there any update on kind of what that's looking towards the next couple of quarters would be great. 
Sherif Foda: Thanks, David. I would say we see same trajectory towards the end of next year. I would say we should be adding a fleet quite soon. And then depending on the pandemic and who is going to start first, I would say, in the second half, we'll be adding another 1 or 2. So today, I still see we're going to be 4 to 5 fleet by end of '21. 
Operator: Our next question today is coming from George Michael O'Leary from Tudor, Pickering, Holt. 
George O'Leary: Piggybacking on David's frac fleet question, I was going to ask the same one, but just -- is the expectation that you expand that frac presence outside of the kingdom? Or are there opportunities in other geographies? Or do you expect most of those fleets to go to work in Saudi Arabia? 
Sherif Foda: No. Most of the fleets will go outside Saudi Arabia. So our plan, hopefully, and obviously, that depends on the clients. But our plan, hopefully, the additional fleets will work outside Saudi Arabia. 
George O'Leary: And then for just underlying activity in that MENA region in the fourth quarter, clearly, we started the third quarter higher than we ended it, given the 22% average decline. For Q4, what's the kind of underlying activity expectation fully realizing that's not necessarily what NESR will see in their business? 
Sherif Foda: I would say as, if you recall my first quarter comments, I always said that the activity, first quarter would be the best out of the year, opposite to previous years. However, for us, we -- our plan is to maintain growing over the year like we did before. And so far, that's what we are delivering. So we're delivering exactly what we said. I would say, the fourth quarter is similar, in the sense, activity is not going to get better. I would say, on the contrary, some of the customers might actually shut down some of the work because the opposite effect will happen this year, which means they are running out of budget or they do not want to spend any more and the government say, shut down, that's it. Let's not spend more than what we did.
 In our case, I don't see any difference, as I said, from our trajectory. We will have growth sequential and we don't see any issue even if the activity gets dropped further. If the activity does not drop, we will have even higher growth. But overall, I don't see the activity increasing because nobody needs it, except for Libya. Libya would be the only outlier where they're going to increase. I don't see Iraq, any of the IOCs putting any money in the next 2 months. There's only 2 months left. And the rest, the GCC is very stable, but I wouldn't say increase, I would say, it's a stable activity. For us, we will have an increase. 
George O'Leary: And then if I could sneak in one more, if I could. Just M&A and then kind of the pull-through of the sort of product service lines that you acquired via mergers and acquisitions continues to be a big part of the story. Could you just frame kind of what the M&A landscape looks like, given the challenging market that we face? Has that created incremental opportunities for you guys? Or how would you describe it? 
Sherif Foda: So M&A is very -- I would say, in the U.S., definitely, we have -- we get kind of invaded by opportunity, but we have no interest, as we always say, except to buy supplies or resources. But we are not planning to do anything here unless the company is so innovative that we take it over there. And that's different approach to our M&A. So just let me -- I said this before, but I just wanted to be very clear. So the M&A for us, it's in the geography. And that's when we buy a company. Are there opportunities? There are plenty, not like the U.S., but there is several. And those, we are negotiating with 2 or 3. Negotiation in the Middle East takes time. What's different is you need to have due diligence. We do a very detailed due diligence in those. And today, we are not able to do that because there is no travel, right? So I don't think we're going to land anything in the next quarter or so, right.
 If I look at what we do in the U.S., you have 2 problems. You have the technology partnership that we talked about, and we do several. Today, we have an investment in 4 companies. So we put money in 4 companies. We don't buy them. We put money in them to get the technology, so it's like a PC. So basically, I want the technology to be -- to happen. Some of the innovation we wanted to be tailor-made for our Middle East operation, and we put money for this company to make it happen.
 And the third part is basically a lot of the Chapter 11 guys, and we are happy to look at that equipment if it makes sense to buy 10 cents to the dollar. But we take this as CapEx, we don't take this as M&A. 
Operator: Our next question today is coming from Igor Levi from BTIG. 
Igor Levi: So you talked about the significant contract awards in 2019 being a big tailwind. But you also mentioned you expect similar growth in the coming quarters. So could you talk a bit about the drivers of those growth? Of course, we do have, I mean, we know about SAPESCO and the incremental drilling contract in Oman, but is that sufficient? Of course, there's the additional frac fleets. But again, those I think still need to be awarded. So how much of that growth still needs to come in the form of contracts in the coming quarter or 2? 
Sherif Foda: Very, I would say, Igor, we have a lot of contracts that were awarded. We don't announce everything. And a lot of the contracts that we have today, what you do on them is you expand on that portfolio. So the best example is Oman, right? So today, we have this fantastic Oman operation, and we managed to extend those contracts for a decade, right? So it's unheard of. I mean, the clients never did this. So today, we have all this contract now for 10 years coming, right? So what you do in these contracts, some of them you expand the portfolio. And some have -- and actually, for that same example of Oman, we actually added a full scope of drilling contract into our other contracts. So our expectation is to deliver on those, introduce all this technology and partnership we did in the U.S. over the last 15, 18 months and put those technology to action. Today, most of those technology, some of it takes 12 to 18 months to have a tool. And then you have that tool, you send it there, it has to work. And it has to be competitive and it has to work as good as the others or even better. Once you have that, you get part of that pie.
 So the landscape of work, of market is huge. And I keep repeating this. This is a $20 billion market. We are not even 5% of it. So having now the infrastructure, having the image, having -- being like, I would say, the darling of a lot of the NOCs, for us to be able to be 10% of that market share is not that hard. And we have the platform to be able to do that. You don't have to win a contract in each place, in each tool to make that happen. So as I said, until our $2 billion revenue mark is achieved, I don't see any problem with the growth trajectory. 
Igor Levi: And then as far as the fleet that you mentioned, the additional fleets that would be doing frac outside of Saudi Arabia. Would they be as profitable as the ones that you're adding this year, given that they're not, from what I expect, not likely to be working on conventional fields like Jafurah? So they wouldn't have as many stages per well. Could you talk a bit about that? 
Sherif Foda: So outside the whole Middle East, Igor, only Jafurah is a multi-pad well like the U.S. Everything else in the Middle East are single wells. So any contract you have, any frac business you have will always be single wells? Is it multistage? It is multistage. But it's a multistage Middle East, right, which basically, some of these wells are 6 stages, some are four stages. And, yes, some of them at one stage, which is a single frac, right? So the price per stage is completely different. And the structure of the fleet is totally different. So I would say, you can make the same, you have the same -- as a percentage, but you will not have definitely the revenue or the top line like you have with a multistage doing 80, 90 stage a month, right?
 So if I look back at my olden days, some of these wells, we used to do a stage every 2 weeks. So you do 2 stages per fleet per month. But definitely, the stage is not 55K like you have here in the U.S., right? The stage is like $1.5 million. So it's a totally different structure, totally different setup. And each country is different. 
Operator: [Operator Instructions]. Our next question is coming from Blake Gendron from Wolfe Research. 
Blake Gendron: So my first question is on margins. They seem to have stabilized, even though your top line growth trajectory is just on a different level relative to the rest of the sector. If I were to isolate the segments to make sure that production services will continue to see stabilized margins, you'll add some frac capacity, maybe there's some cost-plus sort of dynamics in there. On the other hand, you're going to see some scale absorption and operating leverage. In D&E, it's a little bit tougher to pinpoint margins. It tends to be a little bit lumpier and seasonal, but perhaps instances like the PDO contract will allow you to get higher technology exposure in the D&E realm. As we look out 2021, 2022, I know your bogey is just flat margins, and you're more focused on the top line growth. But what kind of levers can you pull? Or what kind of dynamics are in play that could either push the EBITDA margin higher or lower moving forward? 
Sherif Foda: I would say similar answer. If I look at the D&E, if you get to be more on the E and more on the higher end of the D, your margin will improve. So you are -- you have to be in a technology provider, higher end on some of the services to be able to improve the margin to that level. But, however, by the way, now if I look at the industry and I look at the pricing, I would say, destruction almost in some of those services. Actually, our profitability in the D&E is higher than the best guys. So it's kind of shocking that you are running basically what you used to call in the olden days dumb iron, but you have a higher profitability than reservoir sampling. Right? So those margins today are quite strong, but definitely, they can get a bit higher based on the mix. So if I would answer you, do I see this going to 30%? No, I don't. Would I see a couple of percentage points like we have between 20, 24, 22, maybe sometimes jumps to 26, yes, maybe. But definitely, we need some traction to the market to be able to do that, right?
 If I look at the production, there is a lot of, as we always said, I mean, if I look back, we used to run higher-margin in production when we didn't have the frac and all the revenue fall through, basically, as you know very well, all the hauling, water, land, camps, all the stuff. Today, you have to do that to be able to do the frac because that's part of the business. Do I see the client changing the behavior on that? I don't. I think on the contrary, now they see more efficiency. They see more the stage count being delivered better than anyone else. I think they might actually see, can they do even more, right? The one thing I would say, Blake, that we have significant cost for COVID-19. And I know we are, again, maybe the only ones that don't call it off. But I make it part of my business and I look at it. And I'll just give you the example. When I was in the Middle East myself, I tested 4 times and I stayed [indiscernible]. How much did I spend? I mean, I spend just on testing $1,000, me, right? Every test is $300, $250. If I look at how many tests I did last month in the company, I did 2,600 tests. So if I look at how many people do I test today, just to keep working, anytime you have suspected case on the rig, what we do is we go and test every single person, they have to quarantine until their test result is negative. When they are quarantining, we have to put another crew to operate until they are cleared. All this we absorb. We don't pass this to the customer. We take that cost. And we took that cost in our operation, as part of our operation.
 So I would say, we might have an improvement here on margins when you take this cost out. But I don't want to, I would say, I just like to stay, if we manage to keep that growth profile and maintain that profitability margin that is in my books, I think it's the highest in the industry today. I think we are very happy. 
Blake Gendron: That's totally fair. We do appreciate the cleanliness of the numbers and just confidence in the stability of the margins, I think, is the most important, just given the growth trajectory. And just a quick follow-up here, if there's time, on free cash flow. I want to approach it from a different angle. Say we get a second wave, say some of the organic growth opportunities fall by the wayside next year. Where do you think capital intensity goes? I don't want to put you on the spot and guide CapEx. But in terms of maybe giving investors a little bit more confidence in the free cash flow elasticity relative to growth would be great to nail that maintenance CapEx level down. 
Christopher Boone: Sure. So I think we've said, our plans for next year probably still be in the -- at still some sort of growth rate, what we plan on. It would be about maybe the $70 million, $75 million range. That's what we've said. Could it be higher? Sure, but that would require, we win more contracts and have other things to support. So that's about where we see next year. 
Sherif Foda: So if I may add, Blake. The best way to look at it is always rule of thumb of maintenance CapEx is 2% to 4%, depending on your segments, depending, are you on the high end, low end, a lot of inventory items, et cetera, right? So -- and then the rest is growth. So we have a different profile because we frontloaded our CapEx. And plus we added this buffer to make sure that the clients trust our ability to deliver if something happen. And I know that a lot of people came to tell me, you are adding a lot of equipment, and I said, no, I'm not adding a lot of equipment. I know what we're doing because we know the customer very well. So our deep knowledge of the customer is unmatched, I would say, second to none. And that works very well for us, and that's how you see this revenue growth like this. At a certain level, with a certain stability, we will be able to be an amazing way that you're adding now only for technology and for something to change and maintaining that growth profile. So I would say, next year, at this growth profile of this year, we will only spend $70 million, $75 million. If something happen and we don't grow as much, that CapEx would be much lower. 
Operator: Our next question today is coming from Jeffrey Fetterly from Peters & Company. 
Jeff Fetterly: Just a couple of quick follow-ups. On the CapEx side, what are your commitments at this point for the rest of this year or going into 2021? 
Christopher Boone: This is Chris. We'll be -- obviously, that's part of our quarterly filing disclosures. But they're approximately -- I think we disclosed in the AP, there's about $20 or so million that is committed, not received. Now there're some additional LC payments that flow through CapEx. So I'd say there's about $30 million as of right now that would still be for Q4 or next year. 
Jeff Fetterly: And do you think most of that will come in, in Q4? Or is that similar to what you saw this year along your data? 
Christopher Boone: Some of it will be, let's call it, approximately maybe $10 million of that will hit in Q4 and the rest will be next year. 
Jeff Fetterly: And are there any other projects or commitments that you're contemplating before the end of this year? 
Christopher Boone: Yes. Well, obviously, we've discussed an addition of a third fleet. So that would obviously be one that's not in our numbers yet. 
Operator: We have reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further closing comments. 
Sherif Foda: Thank you very much. We're out of time. So we're very, very excited about the future. We look forward for continuation of our growth profile in the coming quarter and next year. Thank you very much. 
Operator: That does conclude today's teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.